Operator: Good morning, and thank you for holding. Welcome to Rent-A-Center's Third Quarter 2012 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, October 23, 2012. Your speakers today are Mr. Mark Speese, Chairman and Chief Executive Officer of Rent-A-Center; Mr. Mitch Fadel, President and Chief Operating Officer; Mr. Robert Davis, Chief Financial Officer and Mr. David Carpenter, Vice President of Investor Relations.. I would now like to turn the conference over to Mr. Carpenter. Please go ahead, sir. 
David Carpenter: Thank you, Alicia. Good morning,  everyone, and thank you for joining us. You should have received a copy of the earnings release distributed after the market closed yesterday that outlines our operational and financial results that were made in the third quarter. If for some reason you did not receive a copy of the release, you can download it from our website at investor.rentacenter.com.
 In addition, certain financial and statistical information that will be discussed during the conference call will also be provided on the same website. Also, in accordance with SEC rules regarding non-GAAP financial measures, the reconciliation of EBITDA is provided in our earnings press release under the statement of Earnings Highlights.
 Finally, I must remind you that some of the statements made in this call such as forecast growth in revenues, earnings, operating margins, cash flow and profitability, and other business or trend information are forward-looking statements. These matters are, of course, subject to many factors that could cause actual results to differ materially from our expectations reflected in the forward-looking statements.
 These factors are described in the earnings release issued yesterday, as well as our annual report on Form 10-K for the year ended December 31, 2011 and our quarterly reports on Form 10-Q for the quarters ended March 31, 2012 and June 30, 2012. Rent-A-Center undertakes no obligation to publicly update or revise any forward-looking statements.
 I'd now like to turn the conference call over to Mark. Mark? 
Mark Speese: Well, thank you, David. Good morning, everyone, and thank you for joining us for a review of our Third Quarter 2012 results.
 Overall, I am pleased with the results that we delivered in the third quarter, as total revenues increased 5% and earnings per share increased approximately 12%. And for the first 9 months of the year, total revenues have grown 8.4% and our earnings per share over 10%, both within our stated long-term ranges. I'm very pleased with the continued execution and excellent result from our RAC Acceptance business. Revenues there grew to $84 million for the quarter, an over 60% increase from the same quarter 1 year ago. And at the same time, generated operating profits of $7.4 million. It is also worth noting that the gross profit margin was 59.3%, within our expectations and above the new store economic model.  Overall, a strong performance with still plenty of opportunities for expansion in the future.
 As for the Core business, our revenue was soft in the quarter. We continue to face the headwind caused by early purchase options, both those had occurred in the first quarter, pulling revenue forward, as well as those simply caused due to product deflation, leading to shorter lives. Nonetheless, the year-to-date revenue in the Core business has grown over 2% and same-store sales will be positive for the year.
 Now Mitch will provide some additional color on the Core business in a moment, but suffice it to say that the Core continues to generate strong recurring revenue, profits and cash flow.
 Regarding our updated guidance. Given now 3 quarters of the way through the year, we have narrowed the ranges, both revenues and earnings per share remain within the original ranges, while same-store sales have been updated to approximately 2% for the year.
 We do expect an approximate plus 2% comp in the fourth quarter as well. We remind you that if you were to average, that with the first 3 quarters, positive 7.1%, plus 2.8% and plus 1.2%, you would get an average comp for the year of approximately 3.3%. However, again, as a reminder, we do not count stores in the annual comp unless they have been there for the entire year. For that reason, the annual reported comp is expected to be approximately 2%.
 All in all, I remain confident about our ability to hit these numbers and I remain excited about the future. I do want to thank all of our coworkers for their continued efforts, and as always, we appreciate your support. With that, I would like to ask Mitch to provide you some additional color on the Core businesses or the various businesses. 
Mitchell E. Fadel: Thanks, Mark, and good morning, everyone. Well as you heard Mark mentioned, overall, we are generally pleased with both our top and bottom line results in the third quarter. Our same-store sales of plus 1.2% was driven by RAC Acceptance segment that had an impact of about 2.5% with only about 250 of the kiosk in the quarterly calculations. So 2.5% impact on the same-store sales, out of only about half of the RAC Acceptance kiosks being in the calculation at this time is sure an impressive number.
 We're very pleased with the RAC Acceptance operating profit of $7.4 million, a 7% increase over the prior quarter. And even more impressive when you consider we opened approximately 180 of them in the last 6 months. This continues to be a very fast-moving and very effective growth strategy for our company. 
 Our Core business same-store sales were down 1.3% for the quarter, but remain at positive 1.2% year-to-date. As you recall and Mark just reiterated, we've experienced a significant increase in early purchase options this year, especially back in the first quarter, which pulls the revenue forward. So although negative for the quarter, the Core same-store sales are positive year-to-date and we continue to expect a positive number at year end.
 Equally important is we expect our gross profit margins in our Core business to be flat year-over-year in the fourth quarter as we anniversary our promotional strategy that was implemented last year. So we expect the previous gross profit margin deterioration in the quarter to flatten out in the coming quarter and start to improve as we move forward into 2013.
 Our weekly collections metrics remain in line and our customer losses of 2.6% in the core rental stores for the quarter continue to run better than last year. Our inventory remains in good shape. You may have noticed inventory held for rent in the Core segment up over where it was last year at the end of the third quarter. This is a result of certain fourth quarter promotional product and the timing of that product coming in. Overall, not a concern to us due to being the results of the timing issue.
 On the international front. Most of you know our primary focus is on Mexico. We opened 15 stores there in the quarter and we ended the quarter at 81. Due to the timing of getting leases executed and stores opened, we will now add about 40 for the year rather than the 60 we previously thought we could get open. These are strictly timing issues and we continue to believe Mexico represents an excellent growth initiative for us and remain enthused about this thousand store opportunities. Overall, a very good quarter for us and I would like to thank our 20,000 coworkers for their tremendous efforts and accomplishments in improving the quality of life for our customers. Robert? 
Robert Davis: Thank you, Mitch, I'm going to spend just a few moments updating everyone on the financial results during the quarter and review our 2012 annual guidance. After that, Tom will open the call for questions. And as a reminder, much of the information that I do provide, whether it's historical results or forecasted results, will be presented on a recurring and comparable basis and therefore, excluding nonrecurring charges, none this year but there were some last year.
 So we'll be talking about pro forma results.  As outlined in the press release, our total revenues were $739.3 million during the third quarter, an increase of $35 million or 5% as compared to the third quarter of last year. Now this increase was primarily due to an increase in revenues within the RAC Acceptance segment, leading to our positive 1.2 same-store sales comp.
 Our net earnings in the quarter were $39.9 million, while diluted earnings per share equated to $0.67, an increase of 11.7%. These results include about a $0.10 drag on earnings in the third quarter, due primarily to the continued investment and ramp up of our international growth initiatives. Now these investments held a slight impact of operating margins in the quarter, which were down 10 basis points quarter-over-quarter and equated to 9.2%, while actual operating profit dollars increased 4.2%.
 Similarly, our third quarter EBITDA increased over 7.5% to approximately $90 million. And the margin increased as well, 30 basis points to 12%.
 We generated positive cash flow during the third quarter and year-to-date, we have now generated nearly $259 million in operating cash flow. Now reflecting our continued confidence in our strong cash flows by returning cash to stockholders, we did disburse over $23 million in cash between share repurchases and dividend payment during the third quarter. And that, along with our 10th consecutive quarterly cash dividend payment tomorrow, we will, for the year, bring our total deployment of capital between dividend and share repurchases to $68 million. 
 Furthermore, as outlined in the press release, our board has further increased our authorized level for share repurchases by $200 million, bringing the total amount authorized by the board since the inception of the plan to $1 billion.
 We ended the quarter with approximately $82 million in cash on-hand, and our leverage ratio continues to improve. And at the end of the quarter, leverage equated to 1.31x. We continue to believe our balance sheet is in extraordinary shape, and as such, we do believe that we remain well positioned to execute on our growth initiatives and continue to provide long-term value to our shareholders.
 Now in terms of guidance, based on how we have performed year-to-date, both operationally and financially, and as you would expect, with just one quarter remaining in the year, we are narrowing the ranges of the majority of our metrics and those we provide guidance. So we'll continue to expect total revenues to exceed $3 billion by increasing between 7% and 8.5%. We expect same store sales for 2012 to approximate 2%. 
 Overall, diluted earnings per share for 2012 are expected to be in the range of $3.05 and $3.15, which includes an approximate $0.30 drag on EPS, primarily relating to our international growth initiatives.
 We expect both our consolidated operating and EBITDA margins to decline approximately 50 basis points during 2012, while we continue to invest for growth and for the long term. Yet we're expecting the dollars will increase in both categories. And more specifically, in terms of EBITDA and free cash flow, the company continues to believe EBITDA will range between $400 million and $420 million with free cash flow expected to be in the range between $80 million and $100 million.
 Now this guidance does not include the potential impact of any repurchases of common stock the company may make, changes in the future dividends, material changes to outstanding indebtedness or the potential impact of acquisitions, dispositions or store closures that may be completed after the date of this release. 
 We will be providing our annual 2013 guidance in January after the completion of this fourth quarter. And finally, as a reminder, you can find in our Investor Relations website the unit level economics for our growth initiatives. This will be updated only on an annual basis as our segments continue to grow and mature.
 Alicia, with those prepared comments, we'd now like to open the call for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Laura Champine from Canaccord. 
Laura Champine: I just have a question about the Core business where the comp is softening. Would you attribute that mostly to higher gas prices and continued struggles with unemployment staying high or is there something else going on in the Core that's hurting that business? 
Mitchell E. Fadel: Good morning, Laura. Certainly, those don't help us, the 2 things you mentioned. But as we'd talked about and we talked about our year, the additional early purchase options are our biggest headwind. The fact that people are accessing the early purchase options sooner and we're getting more of those, which cuts off the recurring revenue and pulled a lot of revenue forward as we've talked about. That's why for the year, we're still 1.2% in the Core, when that will be a positive number at the end of the year from all indications. So it really is more timing than anything else. Although as you pointed out, certainly, the fuel prices and the unemployment aren't helping. 
Laura Champine: And then lastly, the Rent-A-Center, the kiosk growth numbers are higher than what we had expected, you've raised the 300 new kiosks for this year. Are those additions ahead of previous expectations coming from the existing retail host or are you signing on new retailers? 
Mitchell E. Fadel: Well we're always signing on new retailers. It's a fast-growing business. We've lost a few kiosks earlier in the year as we've talked about with a bankruptcy in one of the furniture chains. Of course, Best Buy, we came out of the few of those stores and so forth. So the net add still appears to be around the 200 range that we started out the year. But we're opening more to make up for the fact that we've lost some in some furniture store's closing as well as the Best Buy deal. 
Operator: And your next question comes from the line of John Rowan from Sidoti & Company. 
John Rowan: Did you mention why the tax rate was lower for the quarter? 
Robert Davis: We did not, and as you recognize in our annual guidance, we no longer provide guidance on the tax rate just given the complexity around that calculation. There was a rate that was booked less than the prior 2 quarters. However, if you look back at previous years, there's generally a true-up to a new rate in the third quarter as we file our prior year's tax return. So what you're seeing is a true-up of some of those calculations as we have more information throughout the year. 
John Rowan: Okay. And then as far as RAC Acceptance goes, has there been any noticeable shift in the rate of returns that you're getting? 
Mitchell E. Fadel: No, there hasn't, John. It's still -- we're still seeing that 75% to 80% keep range. 
Operator: And the next question comes from the line of John Baugh from Stifle and Nicolaus. 
John Baugh: Jump right into a couple of things here. There was an international intangible charge of about $1 million, could you discuss that? 
Robert Davis: Yes, John. As you recognized the goodwill changes in regards to no longer amortizing goodwill, the company is supposed to be doing or required to do annual impairment evaluations, which we do every year. However, at the same time, we continue to evaluate store performance and that charge is related to, in our view, some underperformance from stores in Canada that had been falling behind our expectation for quite some time. And so as it relates to a few of the stores in Canada, that goodwill is impaired, in our view, and therefore that's what that charge is related to. 
John Baugh: So it's Canada, not Mexico. 
Robert Davis: That's correct. Currently, no goodwill in Mexico, given the fact that we have not acquired any businesses in that country. So goodwill is segmented, however, given the Mexico business, as all of you know about, there's no goodwill attributable to that country at this point in time. 
John Baugh: Okay, thank you. And then staying on Mexico. It looks like your guidance is to open 4 locations in the fourth quarter, at least internationally. That's not many. And I'm just curious, is that all timing of leases or is there some slowdown of expansion plan? And I know you probably won't discuss 2013, but I'm just curious why it's such a low number? 
Mitchell E. Fadel: I think that's more than 4, John. I think we're 29 year-to-date in Mexico and we're guiding to approximately 40. So I think it's -- Robert is looking at the number right now, but I think it's 29 year-to-date and we're guiding to 40 so... 
John Baugh: Okay, maybe I was looking at the wrong number. 
Mitchell E. Fadel: It's more than 4. You might be adding the 29, with the 6 we've opened in Canada and getting the 35 but ... 
John Baugh: Yes. That's what I did. That's what I did. My apologies. 
Mitchell E. Fadel: If you look at just Mexico, it would be in that 10, 11, 12 range for the quarter, still less than -- the 60 is less -- I'm sorry, the 40 for the year will be less than the 60 we anticipated and that is all just timing in the leases and so forth. And quite honestly, we could probably push a few and get them open right in the middle of December and we've decided not to because it's such a busy time of the year. Sure, you want to open the stores for the busy time of the year but not one as the week before and Christmas and our operators are tied up doing that rather than focus on 80 or 90 stores we'll have opened by then. So truly, it's just a timing issue. 
John Baugh: Okay. And then staying on Mexico, your 9 months gross margin is -- it's only down 100 basis points, but it is down slightly. Your EBIT loss is significantly higher unit as a percentage of revenue. And I'm just curious, is this all infrastructure build going on, if you could kind of give us some sort of feel for maybe when you start filling out some of the existing markets and leveraging that expense. Because it looks like the gross margin is not changing materially. 
Mitchell E. Fadel: With new stores, of course, the gross margin would be there from day 1, but not EBIT, right. EBIT will be dilutive for new stores. So it is infrastructure, but it's also just the timing of the new stores. But even when the new store is only 1 month old and still pretty darn dilutive from an EBIT standpoint, the gross profit percent is there from the very first contract we put out. So it's a combination of new store timing and building the infrastructure, John. 
John Baugh: Okay. And then if we can jump over.  Could you discuss Computers as a percentage of your businesses? Has that change at all year-to-date in the latest quarter? And then what are you doing with tablets and how do you see that impacting the Computer segment? Thank you. 
Mitchell E. Fadel: The Computer segment has grown for us and we -- it has been about 1 year now. Last summer, we put tablets in. So we've done well in tablets and saw the overall category grow. 
John Baugh: Okay. So you don't see tablets cannibalizing right now, your computer business is incremental? 
Mitchell E. Fadel: Well, it's not all incremental. Certainly, not every tablet rental is incremental, some of it cannibalized the Computer business, but overall it's helped us grow the category. 
Operator: And the next question comes from the line of Budd Bugatch from Raymond James. 
Budd Bugatch: Questions. I just want a follow-up on something on the international. Looks like the guidance is for a lower loss in the fourth quarter and just curious as if you'll give us any comments to ramp up to break-even, when do you expect see that? Is it first quarter of next year, second quarter of next year? 
Robert Davis: Budd, you're right. Based on the approximately dilution and what's been recorded year-to-date, there is a narrowing of that expected dilution in the fourth quarter. Part of that is due to some of the comments that Mitch just recently made in terms of stores that could open in the fourth quarter that were pushing into the first quarter next year, not taking on that dilution given the timing relative to the busy season. And so to not distract the other 80-plus stores that are operating today, we -- and the management there, some of that dilution is going to be pushed out to next year when we open the stores in the first quarter. 
Budd Bugatch: So when do you see this come into a breakeven and profitability, is it... 
Robert Davis: As we talked about last conference call, Budd, all of that depends on timing and how many stores we choose to open. We haven't given guidance to next year yet. We'll be doing that in January. What we did say directionally is that we do expect international to be "accretive" relative to this year, i.e. the dilution will not be $0.30 again next year. It will be something less than that. But again, that will depend on timing and how many stores we expect to open in 2013. 
Budd Bugatch: Okay. Thank you. On looking at the Core expense control, if our numbers are right, it looks like given the year with the revenue in the quarter year-over-year, expenses in the Core, at least if -- and then we backed into it, we're down about $17 million. Can you comment on kind of the Core expense control and what may be causing that, and what's it's likely trajectory for the rest of the year? 
Robert Davis: Well, I think, what we've talked about on prior calls and other conversations with the investors at conferences and so forth, is the fact that we're very diligent about managing the P&L all up and down and not just focused on growth only but being diligent in how we manage the business. There is no one thing that we can point to, Budd, and suggest to you that there was a large initiative to remove costs in one area of the company. We've been focused across all line items on the P&L. So when you think about labor or in some cases, delivery and telecommunications, every single line item has been in the crosshairs of management to ensure that we're managing it diligently and we've been successful in doing so. 
Budd Bugatch: And that should continue into the fourth quarter, I mean... 
Robert Davis: We would expect that to continue. Yes. 
Budd Bugatch: And I know that you were asked this before, you're going to open up 300 RAC Acceptance kiosks in this year. Now, the guidance at the end of the second quarter, I think, was for 200. I think Laura asked, "Is there any -- are there any new notable retail hosts for that?" I'm not sure you answered that. And the 300 gross is going to net to 200 at the end of the year, is that the way I understood your comment? 
Mitchell E. Fadel: Yes. The net add would be still around 200. We're always adding hosts. There is -- and we are always testing with different hosts. So we don't have any announcement there with anything significant, but we're always adding hosts and we've come out of a few hosts, like I mentioned earlier. As far as a bankruptcy, it's the headwind of the furniture companies. So we're continuing to add. The demand is very strong and, well I don't know, we said initially... 
Mark Speese: There are names you may not recognize otherwise. 
Mitchell E. Fadel: And then we said initially 1,000 and now we said 1,400 and it just keeps going and going as far as the demand. So we're very positive about the demand in that business. 
Budd Bugatch: And the adds are furniture stores or how does that play out, a furniture versus electronics or ... 
Mitchell E. Fadel: Well, we're in both at this point. We're in both. 
Budd Bugatch: Okay. And lastly, I noticed that there are a few less domestic openings, not material but just curious if there's anything going on there? 
Mitchell E. Fadel: I'm sorry, I missed first part of that? 
Budd Bugatch: You're now going to open up 35 domestic rent-to-own, a Core rent-to-own locations and I think the guidance was for 50? 
Mitchell E. Fadel: Nothing going on there other than of getting leases, executing, getting the stores open. Just didn't get 50 of them executed this year, but it was nothing more than timing. 
Operator: And your next question comes from the line of John Braatz of Kansas City Capital. 
Jon Braatz: Core growth was a little bit soft in this quarter. When you look at the longer-term picture, what kind of growth do you need to begin to leverage expenses or when do you begin to see some deleveraging expenses? Obviously, you did a good job in this quarter but would you need a sort of a consistent basis to leverage expenses? 
Mitchell E. Fadel: We forecast at least 1.5%, 1% to 1.5% top line to leverage expenses. Having said that, that assumes an economy where manages are flat or sort of inflationary to some extent. As we've talked about previously on this call, we have been managing the P&L up-and-down and finding opportunities throughout. At some point, that stabilizes, of course, and we expect to go forth with the remainder of this year. But in the steady state environment, 1% to 1.5% will be a top line that we need to leverage and get leverage for the Core business. 
Jon Braatz: And I think Mark might have mentioned that there were some early purchase, early payment options in this quarter too, to go along with what we saw the first quarter. Did I understand that correctly? 
Mark Speese: Yes, John, I did make the comment. Not at the pace that we saw in the first quarter. But the fact is, the purchase options had been a little higher every quarter or every month. And again, largely driven product inflation bringing the cost down. You've heard us say in the past that we usually manage that by adjusting the term and not the rate. And so by lowering the term, obviously, the products are leaving the system sooner than they would have otherwise. And that headwind, now I can -- I know it's flattened and I'll tell you that, and a quarter does not necessarily -- say, we've turned the tide. But I'll tell you the average life actually change in the last quarter. So let me explain it, because I think this is important. A couple of years ago, you heard us say that the average product was in our system about 18 months from the time we bought it to the time we disposed of it, mostly through a rental transaction, being rented 2 or 3 times during that period, if you will. That has come down to as low as 16 months, which is where it's been for the last year or so, anyways. So from the day we buy it to the time it leaves our system, about 16 months in average. And that again, is a byproduct of the product inflation adjusting the terms. The point, and again, I'm not -- we're not inclined to stick -- it's one quarter. We think this is going to continue in the future, but I'm not -- the tide is shifting. The third quarter actually went back up to 17 months if the average product was in our system. So we're anniversary-ing the deflation which we know have slowed anyways, the promotional stuff that Mitch talked about 1 year-ago we're anniversary-ing, and we were actually seeing the average life extend a little bit for 1 quarter. So a little cautious to say, but on the other hand, all the leading indicators are pretty encouraging. 
Robert Davis: And we we're estimating that gross profit margin in the fourth quarter to be flat. In 2011, we're just been running behind year-to-date. And now we would anticipate some. We'll obviously, we'll speak to it next quarter when we have our guidance for 2013. But we would anticipate some increase in the gross profit margin in 2013, flattening out in the fourth quarter '12 and then some increase. So it appears out, from a deflation standpoint, gross profit margin standpoint, life in the system standpoint, we have bottomed out on that. 
Jon Braatz: Okay, is there -- what particular product line are you seeing most inflation in? 
Robert Davis: Certainly televisions, primarily, even more so than computers, televisions would be the primary item. 
Operator: Your next question comes from the line of Brad Thomas from KeyBanc Capital Markets. 
Jason Campbell: This is actually Jason standing in for Brad. I was wondering if you can just talk about the trends throughout the quarter and how your customer portfolio looks as you enter fourth quarter now? 
Mitchell E. Fadel: Well trends in the quarter, certainly, the headwind in early purchase options caused us to have a little bit of a shortfall, but the early purchase options ran high for the quarter, higher than we anticipated for the quarter. The new customer demand was there, it's just we fell short from a revenue on that customer count standpoint because more exercised their early purchase option, and we didn't have an increase in new customers. They were pretty flat, and so when you have more early purchase options than you anticipated and don't do more new deliveries than you anticipated, you have a little bit of a shortfall. So it's not like the demand on the front end was down, it's the early purchase options really and not doing enough additional deliveries offset those. 
Jason Campbell: And then I see in your Core rent-to-own, your merchandise on-rent was down about 5.5%. Can you kind of go through how much of that is just the product deflation versus either customers not buying as much or how it kind of breaks down? 
Mitchell E. Fadel: Jason, it's almost all product deflation. We've looked at that and we've done some different calculations on it. It's 90% to 95% of it is product deflation. 
Jason Campbell: Okay. And then lastly on your RAC Acceptance, it's been pretty nicely  accretive by our calculations for the year, and just with the higher openings in the fourth quarter and then potentially into 2013, can you talk about where you see that deflation kind of as we move forward -- that accretion as we move forward? 
Mitchell E. Fadel: Well, we would continue to -- we're expected to continue to grow. I'm not sure what 2013 looks for until we work on that guidance. But we would expect that to continue to grow quarter-over-quarter. 
Jason Campbell: Even with the accelerated openings? 
Mitchell E. Fadel: Excuse me, Jason? 
Jason Campbell: I said even with the accelerated openings, you think that, that should continue to... 
Mitchell E. Fadel: Yes, we opened -- and if you think about the 180 we opened in the second, third quarter, and there was still a 7% increase in profit from the second quarter to the third quarter. So yes, I think there's enough of them now that the accretion of the ones that are already open will continue to out run the dilution from the new ones. 
Operator: And your next question comes from the line of Arvind Bhatia from of Sterne Agee. 
Arvind Bhatia: Quick question on international. I know you guys are saying that dilution is going to be less in '13 versus '12. Is that predicated on a similar run rate of store openings, i.e. about 60, or are you trying to catch up for the 20 in '12, and then open closer to 80. I know -- I'm not looking for specific guidance, just wondering the thinking there, is that predicated on the normal run rate or sort of catch up? 
Robert Davis: Yes. So Arvind, good question. It's predicated on a similar run rate to what this year's original trajectory was. And if you think about stores on their second year, and in some cases, with international, some stores in the third year, contributing, offsetting some of the dilution from the new stores. So it is predicated on similar number to the extent we ramp that up, then the dilution could change and if we dial it down, which we don't have any intention to, obviously the impact would be even more positive so... 
Arvind Bhatia: Okay, got it. And then another question on international. Can you give us some color on kind of the losses, bad debt, et cetera, that you're experiencing in Mexico, in particular, right now? 
Mitchell E. Fadel: Yes, Arvind. They're running about -- where we've certainly what we expect them to run. New stores from a percentage of revenue standpoint always run high because you've got to have more revenue before they get down in that 3% range. So new stores run a little higher because when you lose one and have to write it off and you're only doing 20,000, that's a big difference when you're doing 40,000 or 60,000 or 80,000. It's in line with our expectations. We're not seen anything that troubles us. It's in line with our expectations but not down to the 3% yet because the stores are not mature enough yet to grow into a 3% loss number. 
Arvind Bhatia: Great. And so I know that long-term 1,000 stores, do you expect to -- down the road, do you feel like at some point you will need to open significantly more or do you think that 60, 70, run rate is probably what we should expect for at least in the foreseeable future? I just want to understand if there's any reason why you would step up anytime? 
Mitchell E. Fadel: I think it will stair step up. As we get a bigger foundation, we'll be able to, as we think about 2014, '15, '16 goal, stair step it up from 60 to 80 to 100 to 150 and so forth. We'll be able to stair step that up as the foundation gets bigger. Because the people -- it's a people issue of developing enough people opening the stores. So the more stores you have, you can now grow faster. 
Arvind Bhatia: And again, are there any differences in your experiences closer to border versus if you go farther in, any noticeable stuff that you're noticing? 
Mitchell E. Fadel: We have seen some differences in certain markets, but it's not a border versus interior issue. When a particular market interior in the country is doing better than another one that's also interior and the same amount of border. So it's not really a border versus the interior, but we're certainly seeing some differences in the markets. And we're seeing the same thing in the United States and a lot of times it's our own operator. We might have a better operator in one city than the other and that's our job, is to improve the operation in the city that's falling behind. 
Arvind Bhatia: Very helpful. Last question, I want to go back to the RAC Acceptance real quick. In terms of store openings, your opportunity, as you mentioned, continues to look larger. You're testing various things. Same question there, are you thinking that in 2013, '14, is there any reason why you would change the trajectory? You've opened as many as 400-plus in the past, this year you have 300, but originally you were thinking 200. Just trying to understand if you're looking at a bigger opportunity, if that's changing your thought process in terms of the run rate of store openings here in the next couple of years for RAC Acceptance? 
Mitchell E. Fadel: I don't think we're going to get back to 400 in any year like that, the year of 2011 when we had the RAC Acceptance pipeline merged with the TRS pipeline after we bought then. So I think that's a little bit of an anomaly. I think the 200 to 300 range of openings, the 200 adds, I just think it's a longer runway than we first though before we hit the end of the runway. It's just longer and of course any of the larger players could change that number, some of the obvious larger players. But based on the way we're growing right now, I think the runway is longer but I don't see us getting away from 200 to 300 a year. 
Operator: And your next question comes from the line of Budd Bugatch from Raymond James. 
Budd Bugatch: On your comments about going to 17 months down from 18 and down from -- and up from 16, is that just in the Core, Mark? Is that including RAC Acceptance and have there been any changes in the EPO and another thing you're testing some other things in EPO options in RAC Acceptance. Can you comment on that? 
Mark Speese: That's a good question, Budd, and I should have called that out. I was speaking only to the Core business. One might suspect that maybe it was influenced by RAC Acceptance, and that was not the case. So that was the Core business only. In terms of, are we seeing any behavior difference within RAC Acceptance on early purchase options? The answer is no. Consistent with what we've really seen and experienced over the last, I guess, 2 years now. We continue to have a lot of stores, obviously. You've heard the growth that we've put up, 180 on top of the several hundred last year. So we're getting more and more confident as that business ages and we get more stores that are mature. At the same time, we've had hundreds come out in the relatively short period of time. But as we segment and look at the results, the older ones and even some of the newer ones, nothing significant difference there, their keep rates, their pay -- when they EPO, the collections, anything of that nature. So -- and I think that's why we remain so -- frankly, optimistic about what we're seeing and what we think the long-term opportunity is. 
Budd Bugatch: And the keep range is 75% to 85%. I just heard 75% to 85%, I think you've told us in RAC Acceptance. What about repeat purchases in RAC Acceptance? Are we seeing that for some of the retailers now that you have enough experience? How much of that are we seeing? 
Mitchell E. Fadel: We certainly are seeing repeat business. I don't have a number off the top of my head yet. But we'll be looking at that number. Certainly, it's an important number as we continue to grow. Most are stores are too new now to worry about repeat business, but as we grow, certainly, that's a metric that will become even more important to us. We are seeing some now. And like I said, as they sort of mature, that will be even more important number to us. But -- and anecdotally, in the numbers I have looked at, certainly, we're seeing it. I think it'll be another year or 2 before it's really prevalent based on the age of those stores. 
Budd Bugatch: Yes. To me, that's a very critical issue for RAC Acceptance. And for my last question, again, it's just -- did you give any commentary on units per agreement and the direction that they're going? 
Mitchell E. Fadel: We have not yet, but I'd be glad to. We continue to see that metric perform positively that the -- our add-on rates have done really well for the last couple of years and last year in the fourth quarter was the only time it went down for some reason. But in general, our add-ons, our units per agreement rental continued to perform positively. 
Operator: And your final question comes from the line of Chuck Ruff from Insight Investments. 
Charles Ruff: The $7.6 million charge in last year's third quarter, where is that in the segment information? 
Mitchell E. Fadel: In the Core business. 
Charles Ruff: It's all in the Core. And have you disclosed somewhere where all those charges, there are all sort of charges as you know last year, where they play out in the segment? 
Mitchell E. Fadel: We have disclosed it in 10-Q, and if it -- which we plan to file on Friday. But I think it's also in the statements of varying highlights in the press release, footnoted in the reconciliation of EBITDA. 
Charles Ruff: Okay. I'll check that out. I know you don't give guidance for the tax rate, you mentioned that earlier. Can you talk at all about what we should expect for this fourth quarter? Obviously the third quarter was quite a surprise. 
Mitchell E. Fadel: Yes. The year-to-date rate is around 36, 37, now with the driven third quarter. That's where we would expect the year-to-date to come in. And therefore, that's where you'd expect the fourth quarter to be booked. However, however, the disclaimer being the fall elections and what actions may be taken in December that could change that. And I can't speak to what the impact could be. I don't know what they're going to -- to vote on and legislate on. So barring any changes in the fourth quarter, we would expect -- or after the elections, we would expect the fourth quarter to be booked at a similar rate to the year-to-date. 
Charles Ruff: Okay. And obviously, if they change the law, things change. But absent that, can you talk about your cash taxes this year and next? Because I believe there are quite a bit more than GAAP taxes. 
Mitchell E. Fadel: Yes. This year, we expecting around $110 million, roughly in cash taxes. As we've talked about before, we've been a beneficiary of some of the legislative efforts to get the economy stimulated by allowing us to depreciate on an accelerated basis some of our capital investments. And so we've got a large deferred tax liability in our balance sheet that for all intent and purposes is coming due next year. So "a wallop debt amortization" if you will, is another way to look at it, coming due next year. We expect our cash taxes next year to be around $250 million, give or take. Now that's a number based on today's knowledge and today's estimate. But it can change. And therefore, what we would expect next year is for free cash flow to be virtually nil. In fact, we'll probably be in the revolver next year in order to make our expected continuation of dividend payments, as well as our $25 million of mandatory amortization of debt in 2013. So that would normalize in '14 and beyond, and we would expect to be positive cash flow again of $150 million to $200 million. But next year, certainly, is a time to pay the piper if you will. 
Charles Ruff: Okay. And lastly, I'm curious as to why don't you disclose the full balance sheet and cash flow statement like most companies do. I know you'll eventually do it in your Q, but I'm wondering why you don't do it now? 
Mitchell E. Fadel: Just -- no particular reason. Generally because there's continuing efforts around -- from a disclosure standpoint between earnings release and filing the Q, making sure it's accurate in terms of disclosures and footnotes to tie off the balance sheet. And the fact that the Q is filed so swiftly after the earnings release, 2 or 3 days later. We haven't felt compelled to, but it certainly something we'll take on advisement . 
Operator: And final question comes from the line of John Baugh from Stifel, Nicolaus. 
John Baugh: Well I don't know if you said it. If you did, I apologize for missing it. But did you give a same-store comp number for the Core in Q3? 
Mitchell E. Fadel: Yes. In Q3, it was minus 1.3%, John. The RAC Acceptance positive impact was 2.5%, that's how you get to the 1.2% overall. 
John Baugh: Okay. And how would you think -- I know you took on gross margin flattening out. But still, you have the thrilling impact of EPOs and deflation of whatnot. Would that number be expected to narrow as we move forward or are we just talking about margin changes? 
Mitchell E. Fadel: Well certainly, once we set comping over it in the first quarter next year, that will be beneficial to us to be comping over those extra early purchase options coming in the first quarter next year. So it would help both starting in 2014, I'm sorry, '13. 
Operator: And we have no further questions at this time. I'll turn the call back over to Mr. Mark Speese for closing remarks. 
Mark Speese: Thank you, Alicia, and ladies and gentlemen, thank you very much for joining us again. I guess you've heard, within the Core business, there continues to be some headwind, largely due to, again, the early purchase options. If you heard some, what we think is maybe that pendulum shifting a little bit in that the third quarter life has actually increased, we know product inflation, generally speaking, has slowed in the marketplace and of course we're anniversary-ing some of the things that have taken place over the last year. RAC Acceptance, you've heard some very good things. We continue to enjoy not just good results but good demand. And we're excited about the future there, both the near and the long-term. In international, we remain very excited. Obviously, a much longer play at a slower pace, but nonetheless, pleased with what we're seeing and what that can create for the company in the years to come as well. So as always, we appreciate your support and we look forward to speaking to you further 1 quarter from now and talking about our latest results, as well as our outlook for next year. Thanks very much and have a great day. 
Operator: And with that, ladies and gentlemen, this concludes today's conference call, you may now disconnect.